Operator: Good afternoon. Thank you for joining today's call. With me today is, George Colony, Forrester's Chairman of the Board and CEO; Kelley Hippler, Forrester's Chief Sales Officer; and Scott Chouinard, Forrester's Interim Chief Financial Officer and Treasurer. George will open the call. Kelley will follow George to discuss sales, and then Scott will discuss our financials. We will then open the call to Q&A. Carrie Johnson, Forrester's Chief Research Officer, will be joining the Q&A portion of the call. A replay of this call will be available until June 05, 2021, and can be accessed by dialing (855) 859-2056 or (404) 537-3406. Please reference the conference ID 5068724. Before we begin, I'd like to remind you that this call will contain forward-looking statements within the meanings of the Private Securities Litigation Reform Act of 1995. Words such as expects, believes, anticipates, intends, plans, estimates or similar expressions are intended to identify these forward-looking statements. These statements are based on the company's current plans and expectations and involve risk and uncertainties that could cause future activities and results of operations to be materially different from those set forth in the forward-looking statements. Some of the important factors that could cause actual results to differ are discussed in our reports and filings with the Securities and Exchange Commission. The company undertakes no obligation to update publicly any forward-looking statements whether as a result of new information, future events or otherwise. I'll now like to hand the call over to George Colony. You may begin.
George Colony: Thank you very much for listening to Forrester's 2021 Q1 Investor Call. I will begin with an update on the quarter. Kelley Hippler, Head of Sales, will give you sale update; and Scott Chouinard Forrester's Interim CFO will then give a financial review for the quarter. Carrie Johnson, Forrester's Head of Research and Products will join us and then the four of us will take questions. I like to start by reflecting on the overall economy. We are entering a period of recovery in the U.S., with Europe lagging and the Asian markets slightly ahead of the U.S. Disruption from the pandemic continues in certain regions with India being the most prominent example. It's clear that the pandemic has driven some important market changes. Consumer behavior has shifted permanently toward digital. The way we work has been reorganized around virtual influx and companies must now be all-in on connecting to their customers via sophisticated technology. This backdrop, the Forrester value proposition has never been more resonant. We will be on the side and by the side of our clients as it navigate the challenges of the post pandemic economy. In the first quarter of 2021, we significantly beat our expectations for revenue, operating margin and earnings per share. The momentum that began building in the third quarter of 2020 continued forward into Q1. While we are cautious, given that the pandemic is not over globally, we expect our momentum to carry through the year. We grew contract value bookings by 4% year-over-year, we have seen three quarters of sequential CV growth since the second quarter of 2020. And as a result of the strong performance, we will be raising guidance for the year, and Scott will go into that in more detail. As I mentioned on our last call, Forrester is laser focused on expanding contract value. The value of Forrester's annual recurring research revenue. We defined CV products and services that our clients use periodically over a year's time and then renew on a yearly basis. In 2021, we are planning to grow CV bookings by double-digit rates. The consistent expansion of contract value is attractive to investors, as it results in predictable and profitable revenue streams. In past years, we have tracked syndicated revenue and agreement value for investors; these metrics are now being replaced by the more conventional and simpler CV. Now how will CV growth improve the long-term prospects of Forrester and drive shareholder value? As CV grows, earnings and free cash will increase. We will invest this cash in three ways. Number one, expanding and improving the sales and marketing engine, two, enhancing and launching research products and then three acquiring other companies. A more powerful sales engine coupled with improved CV products and acquired contracts will enable Forrester to grow CV at faster rates, generating increased cash, which will then be reinvested continuing the cycle. Scott will share results of three key metrics that the company will be reporting on quarterly basis, CV growth, wallet retention and CV client retention. I want to turn to the performance of our three businesses. Research, this is where most of our CV products reside, consulting and events. And starting with research, leadership in Q1 was up 6% year-over-year and analyst inquiries increased 23%, as clients used Forrester to help build their post-crisis strategies and execute on key digital initiatives. Our future of work research continues to resonate as we are guiding our clients back to offices and into flex work arrangements. One of the most read reports from late Q1, the opportunity unknowns in the risks of vaccine passports in the workplace. We also deliver research to help clients update their IT stacks to become more adaptive, creative, and resilient, and we call this future fit. The post pandemic drive to be digital is challenging legacy IT and control focused of CIOs. Our future fit research is helping companies sense change in their customer and markets, and then update their technology quickly to meet these new demands. We grew CV bookings in our FeedbackNow startup venture. FeedbackNow enables companies to measure and improve customer experience in real time. And we have developed touchless smiley boxes for the post academic world. FeedbackNow had a strong quarter powered by enrichment and multi-year renewals in the healthcare, transportation and retail industries, well as new clients like Nestle and a major European Roadside Management Corporation. Consulting also exceeded expectations with 21% growth year-over-year, in part driven by the sustained success of content marketing. Technology vendors continue to use this product to drive their marketing and sales leads in the absence of in-person events. Now turning to Forrester events well, we held no summits or forms in the first quarter. The team is preparing for our two largest events, which are being held in the second quarter. The company's largest venue B2B Summit convened this week in a live virtual format. This is the second time that it has been delivered via a digital platform. Paid attendance at Summit was up 20% year-over-year. Our second largest event CX North America will be held in June. In sponsorships for both Summit and CX North America are sold out. Well, all of our events in the first half of the year will be held virtually. We are planning to move some of our events to in-person in the second half of the year, contingent on infection rates and the willingness of attendees to travel and gather. I would now like to turn to the launch of an important new product for Forrester. We decided early in 2020 that we would use the pandemic year to innovate and stay on the offensive. Approximately, a year ago, we begin to design a new research portfolio combining the best of Forrester with the best of SiriusDecisions. We announced this new product, which we call Forrester Decisions on Monday of this week with the rating of the opening bell at NASDAQ. In hundreds of interviews, clients told us that they wanted to formulate strong vision of the future, and then quickly translate those plans into implementation and outcomes. It is no longer possible for large companies to run multi-year strategy and change management projects. Customers are morphing too fast and competitors are too aggressive. So we have designed our new research portfolio to help companies shorten the time between technology vision and business execution. And very importantly, we are doing this in one research portfolio, not two. The world is no longer divided into technology and business. Forrester Decisions helps companies merge these disciplines to win more customers and grow faster. Pay centers like Amazon and Netflix, the business as technology and technology as business and that is how we're going to be leading our clients to move forward. The new portfolio will serve 15 executives including CIOs, CMOs, Chief Sales Officers, Chief Product Officers, Chief Security and Risk Executives and Enterprise Architects. All of these executives will receive all of Forrester's vision research. The intention is to help clients in technology business build a shared vision of the future. So they can move forward together information to win customers. The legacy Forrester and SiriusDecisions research products will still be available. There is no hard cutover to Forrester Decisions. And that said, we do expected most clients will be transitioned to the new product within 18 to 24 months. And Forrester Decisions will be available in August and I will update you all with more details on the Q2 call in July. Turning to our balance sheet, we generated a record amount of cash from operations in Q1 and ended the quarter with over $125 million. The company is financially prepared for investments and acquisitions that will drive our CV growth. I wanted investors to know that we have upgraded our site to include details on Forrester's position on ESG, environment, social and governance. You can find the link at the bottom of the forrester.com page under Investor Information. Let me conclude my remarks by thanking our employees and clients for their continued trust and dedication. I also want to let our colleagues in India and other countries that are battling the pandemic now that we will support them in any way that we can. And with that, I'll turn the call over to Kelley Hippler, Forrester's Chief Sales Officer. Kelley?
Kelley Hippler: Thank you, George. Today, I want to spend a few minutes discussing two things; number one, our pivot to contract value and number two, our preparations for the Forrester Decisions launch. Number one, pivot to contract value, the Forrester sales team has embraced our laser focus on driving contract value growth. Increasing contract value is centered on building long-term and deep partnerships with our clients. In Q1, we realigned all awards and recognition to celebrate those who over-perform on their CV growth targets, including our prestigious Winners Circle trip. I'm pleased to report that year-to-date, we are on pace with contract value bookings expectations. To drive contract value, we are taking a multi-pronged approach, targeting client retention, wallet retention, and client acquisition efforts. I'll highlight a few examples of our Q1 wins. Client retention, we continue to see improvements in retention across geographies. For example, one systems integrator that we partner with in Southern Europe signed a three-year renewal totaling $1.25 million, a 100% CV relationship. Wallet retention, we closed an enrichment program with a major financial services company in the U.S. to provide research and analytics to support their home lending business for $227,000. Client acquisition, we saw strong performance across our new business teams in the quarter. One of our many new business initiatives is a coordinated win-back program to reengage clients with Forrester who were lost during the pandemic. And we're already gaining new traction. An example was a major U.S. retailer who signed a three-year 100% CV contract totaling $384,000. Number two, our preparations for the Forrester Decisions launch. Our sales and customer success teams are excited about the launch of Forrester Decisions, our new premium product line. Our sales enablement team has built a robust training plan that launched in February to start preparing our teams. This new product will show the power of aligning the revenue engine across product, marketing and sales. On a personal note, I'm very eager to be able to offer Forrester Decisions to our clients. Forrester Decisions will help us to deliver on our brand promise of being on our client's side and by their sides in turn leading to double-digit contract value growth. And with that, I will turn the call over to Scott Chouinard.
Scott Chouinard: Thanks, Kelley. I'll now review Forrester's financial performance for the first quarter, the new metrics that we published today and our guidance for the second quarter and full year 2021. Please note that the income statement figures, we review on this call are non-GAAP results, which we refer to as adjusted results. We have provided a reconciliation of our GAAP results to our adjusted results in our press release that we issued today. As George mentioned, we had a fantastic quarter and delivered revenue, operating margin and earnings per share that at the upper end of our guidance and showed significant improvement from the prior year period, with total revenue up 7% or 6% on a currency neutral basis and earnings per share up 22%. CV bookings increased 4% for the quarter. And we remain confident in achieving our goal of double-digit CV bookings growth for the year. Our consulting revenues significantly exceeded expectations and operating expenses were in check as we were cautious with our spending during the quarter. We generated record operating cash flow for a single quarter of $40.6 million and ended the quarter with over $125 million in cash on the balance sheet. Overall, the momentum and the business that we saw in the fourth quarter continued into the first quarter. We are optimistic regarding the balance of the year. And as we indicated on our last call, we reported a new set of metrics today, and I've published these metrics going back to the first quarter of 2019 on the investor relations section of our website. Now let me spend a few minutes explaining these metrics. With the overall concept being that our new metrics are based on our contract value products as compared to our prior metrics, which encompassed our entire portfolio of products. So starting with the contract value metric or CV, this is a measure of the annualized value of our recurring research products. This is predominantly made up of our subscription research products. However, we also include reprint products in CV. As these products include a subscription component are used throughout the year by our clients and are typically renewed. We show the CV metric on a currency neutral basis. And we've modified our client retention metrics to include retention of CV clients only. And we have introduced new metric called wallet retention and this metric combines our old dollar retention and enrichment metrics into a single metric. Wallet retention measures how much of our CV that we have retained from the prior year, which includes two components. One, losses from client attrition and to enrichment from the clients that we retained and enrichment simply means the increase or decrease in the contract value of the retained client. In addition, we have modified our client count methodology. Our previous methodology included only clients with whom we had a subscription research relationship, and these are the vast majority of our client relationships. However, our new client count includes all clients that purchase a CV product, including our reprint product, both we have seen an increase in demand during the past year, as clients look to us for help in generating leads for their business. Our new client count methodology may make our client count more volatile as compared to our old methodology. And as I mentioned, we published these metrics on the investor relations section of our website, going back to the first quarter of 2019. So turning to the results for the quarter, research revenues were up 1% compared to the first quarter of 2020. CV growth was essentially flat compared to Q1 of 2020, however, we've seen three straight quarters of sequential growth in CV from the second quarter of 2020 to the first quarter of 2021. And similar to the trend in CV, we've experienced a sequential upward trend in both wallet and client retention from lows in Q3 of last year. And client count has increased steadily from Q3 of last year due to the strength of our reprint business. Consulting revenue with the primary driver of our revenue beat this quarter with 21% growth compared to the prior year. This represents two consecutive quarters of double-digit growth in consulting revenue and event revenue was minimal as we did not hold any events during the quarter. Operating expenses for the first quarter increased by 5% driven by the reinstatement of our annual bonus, merit increases and higher professional services related to our consulting delivery. These increases were partially offset by lower travel and entertainment expenses due to travel restrictions that remain in effect. Ending headcount was down 2.5% compared to the first quarter of 2020. Operating income and margin, both expanded compared to the prior year with operating income at $14 million or 12.3% of revenue in the current quarter, compared to $11.3 million or 10.6% of revenue in the first quarter of 2020. Interest expense for the quarter was $1.1 million as compared to $1.5 million in the first quarter of 2020 due to reduced debt levels and lower interest rates in the quarter. Net income was up 24% and EPS increased by 22% compared to Q1 of last year with net income coming in at $8.6 million and earnings per share at $0.45 in the current quarter, compared with net income of $6.9 million and earnings per share of $0.37 in the first quarter of 2020. Cash flow from operating activities was a quarterly record of $40.6 million, an increase of 86% compared with the $21.8 million generated in Q1 of last year. And we ended the quarter with $125.6 million of cash on the balance sheet. CapEx was $1.5 million for the quarter compared with $2.4 million in Q1 of last year. So in summary, we had a great first quarter from both in earnings and cash flow perspective and saw continued momentum in the business. This momentum has given us confidence to one, accelerate investments in the business during the remainder of the year to drive CV growth in 2021 and beyond, and two, to increase our full year revenue and EPS guidance. And as Kelley mentioned, the entire company is excited about the launch of Forrester Decisions and the benefit that this product set will bring to our clients and how it positions the company for sustained CV growth. Clients will be able to purchase Forrester Decisions starting in the third quarter. And as this product is a subscription product, the impact on revenue in 2021 will be muted with the larger effect in 2022. Now regarding our 2021 guidance, first to note on events, we are still planning for hybrid event experience in the second half of the year, which will be a mix of in-person and virtual experiences. And the final decision on the format will be made in the next few months. Now we have raised our full year revenue guidance by $7 million or 2% and raised full-year EPS guidance by $0.08 cents or 5%. Embedded in this guidance are a few factors. Number one, as I mentioned, we were cautious with our spending in the first quarter, due to the uncertainty with the economic recovery as the vaccine rollout was at in early stage. We expect to accelerate investment spending in the coming quarters in the areas of sales and product development. Two, we are restoring our vacation benefits to pre-pandemic levels. Three, our guidance being in the first quarter was largely due to over performance in our consulting business. And although, we expect that business to keep performing at a high level, we do not expect to run as hot as we did in the first quarter. And lastly, we're being a bit cautious with our outlook as we're not out of the woods yet with the pandemic, with certain markets facing renewed virus threats and lockdown. We have provided guidance on a GAAP basis and listed the items excluded from our adjusted guidance and our press release and 8-K filed today. Our second quarter 2021 guidance on an adjusted basis is as follows: revenues of $120 million to $124 million, operating margin of 13% to 15%, an effective tax rate of 31% and diluted earnings per share of $0.52 to $0.58. Our full year 2021 guidance on an adjusted basis is as follows: revenues of $473 million to $483 million, operating margin of 10% to 11%, an effective tax rate of 31% and diluted earnings per share of $1.58 to $1.68. Thank you very much. And I will now turn the call over to the operator for the Q&A portion of the call.
Operator: [Operator Instructions] Our first question comes from the line of Andrew Nicholas with William Blair. Your line is open.
Andrew Nicholas: The first one, I had was just on the contract value metric, obviously that's new this quarter. I appreciate, you presenting the historical numbers on the IR site. Just wanted to ask about how you're thinking about contract value and that metric and the cadence over the course of this year, now that you have the first quarter under your belt and part of the second quarter underway. And then in addition to that and this might be a bit more difficult to answer, but how are you thinking about the different components to that growth as we move through the year? Do you expect it to be more levered towards win backs from client loss last year, adding seats to existing clients, bringing on new logos? Any color on the underlying components would also be helpful?
Scott Chouinard: Andrew, thanks for the question. This is Scott. I'll at least take the first part of that. As you know, we've talked about our bookings, CV bookings growth goal of double digits, and we talked about on this call that we hit 4% in the first quarter. So there's certainly an expectation of ramping up our CV bookings as the year goes along. And as that ramps up, we would expect the CV metric to show growth kind of expanding growth as we move throughout the quarters. So we're flat Q1 to Q1 this year, we'd expect probably low single digits in Q2 and then having that expand as bookings expand throughout the year. And I'll take a stab at the second part to well, while I have the mic. I think, there's going to be a mix of both pieces here. Certainly, we came into the year with the seasoned sales force and Kelley has great programs in place for both expanding from an enrichment standpoint and from a win-back standpoint. So I think we'll see a mix from CV bookings expansion from both of those as we go throughout the year.
Kelley Hippler: Great. Thank you, Andrew for the question and Scott, I completely agree. We do have a multi-pronged approach to how we're going to drive contract value moving forward. New businesses fully armed and our teams there are fully staffed. In addition to enrichment, we're also putting focus on renewal and retention programs. And that's also an area where we've been partnering with our marketing organization, where we stood up a client marketing discipline now under that. So it will be a three-pronged approach to driving those metrics moving forward.
Andrew Nicholas: Great. Thank you. And then in terms of kind of bookings and bookings velocity, can you kind of talk about how it progressed or how it improved over the course of the quarter? I know it's been improving sequentially on a quarter-over-quarter basis, but anything notable between January to February to March, and then anything that you can say about quarter-to-date activity?
Kelley Hippler: Sure. Thank you for the question. What's interesting there, Andrew is that we have not seen a huge shift in terms of average days to close, but what we did see year-over-year was about a 7% increase in conversion rate on the Q1 pipeline. So we were very pleased with the ability to take those opportunities that we had, especially without having events in quarter to be able to take that pipeline and close on a significantly higher percentage of that, which I think just speaks to the value that our clients and prospects are seeing in the research and the help that we're providing them with right now.
Andrew Nicholas: Awesome. And then if I could just squeeze one more in, just bigger picture, could you kind of speak to how the U.S. market is different from or recovering differently than the international market and how that might kind of play out through the rest of this year and into next given the different regions or obviously at different stages in their COVID recovery. Thanks.
George Colony: Yes, Andrew, George here. Great questions. It's sort of - we're observing it sort of across the board at this point. I mean, even travel appears to be recovering. We're winning some contracts in that space right now, which is surprised us that was happening in Q1. So there's a broad strength across a lot of different verticals in the U.S., and as I said, in my remarks, Asia is also doing quite well. Europe is still very inconsistent at this point, I would say, by country. I don't think you're going to see acceleration there until the second half. I think Q2 will be a big vaccine quarter for them. And I think, things will improve in Q3 and Q4. But I would say, just generally about the U.S. broad recovery here.
Operator: Our next question comes from the line of Vincent Colicchio with Barrington Research. Your line is open.
Vincent Colicchio: Yes. Kelley, it sounds like you did real well with older clients returning in the quarter. I was wondering, if that was up significantly sequentially and if you think that'll be an ongoing tailwind going forward.
Kelley Hippler: Thank you, Vincent. So we have been pleased with the steadily improving retention rates. I'd say it's probably been since Q3 timeframe, and we do expect that trend to continue as we move forward throughout the year and as George alluded to, as we continue to see different regions recovering throughout the course of the year. So we are expecting and seeing higher retention rates and also been pleased to see a number of clients who we lost last year because of the pandemic already signed back up with us this year, as things start to improve.
Vincent Colicchio: And are you - do you expect that trend to continue?
Kelley Hippler: We do both between the improving economy and then later in Q3 with the launch of Forrester Decisions. I do believe that those two things in concert will help us get back to where we were pre-pandemic as we go forward.
Vincent Colicchio: And Scott, in the financial guidance, what is your assumption for the business in terms of when you returned back to office in a meaningful way and when T&E expenses pick up? And I'm curious, what are you assuming for the event business, you being conservative in the guidance in terms of in-person event?
Scott Chouinard: Thanks for the questions, Vince. I'd say from, return to office and expense standpoint, we've built into our guidance some gradual T&E expense buildup from Q3 into Q4. Assuming that folks will be back in the office here primarily in Q4 and that sales travel will start back up again. And in event travel will be there too. From a revenue standpoint, we are including, it's probably a couple million dollars of upside for hybrid event experience, and we have two events in the third quarter and then six in the fourth quarter. So we're really hoping by the time the fourth quarter rolls around that we'll be able to do those hybrid events, but there's not a lot of revenue baked into the guidance there. It's probably not to answer your question more directly, not a lot of upside on the guidance there. I'd say from an upside perspective, consulting is been running hot - ran hot in Q1, we expect some strength in Q2 because we have some visibility into the backlog in Q2, but just not sure if some of that first half growth eats into the second half growth that we had originally planned for.
Vincent Colicchio: And George, in terms of some your capital allocation priorities, acquisitions were mentioned after internal investment. Is that something we may see this year? Or is it sort of on the back burner?
George Colony: No, I say it's in the middle burner at this point, not the front and the back, but that's really coming from the back to the further toward the front. We have a lot on our plates this year, Vince, with the Forrester Decisions. But that being said, we have a couple of very good targets that were on the - no announcement today, but we're looking carefully. So, as I talked about on calls past that acquisitions, it's very hard to predict - you get a deal, you get all the way down to the end of the line and the deal go south on yourself. But I'd say that's again, moving towards the front burner off the back burner.
Operator: Our next question comes from the line of Anja Soderstrom with Sidoti. Your line is open.
Anja Soderstrom: Thank you for taking my questions and congratulations on a strong quarter. Looks like things are moving along nicely for you. I'm a little bit surprised about the full year guidance. It seems a little bit shy. What do you expect there? What kinds of upside could you see? What kind of risk do you see for the second half there?
George Colony: Or is it, Anja, I can't tell. Yes, look, we're not out of the pandemic. We have a large operation in India. There - of course, great difficulties there. So we are being I don't think we're being overly cautious, but we're being cautious here, Anja. And we see that there's a lot of good signs in the business and Forrester Decisions is very cooled in product, but that being said, we are being typically cautious here. Scott, you may have better color here.
Scott Chouinard: Yes. I mean, I would just start off saying with the research portion of the businesses is on track. That performed as we expected in the first quarter. We were confident. It's hitting our bookings number for the year, so that from a guidance standpoint, that's pretty consistent. Where we saw the overachievement was really on consulting in the fact that we held back on some spending in the first quarter, just due to the uncertainty coming into the year. So as we look out for guidance, a lot of that Q1 revenue beat is baked into the guidance. And we see a pretty strong Q2 from a revenue standpoint, but as I just mentioned with Vince's question, we're not sure if some of that consulting heat kind of eats into their original Q2 plan. So from an upside perspective, maybe consultant gets a little bit better in the second half than what we've projected, but we're not as to - can't really see that right now. And we've taken the opportunity with the strength in Q1 that we're going to invest in both from a sales standpoint and from a product standpoint and mentioned restoring kind of the final employee benefit that was touched on in 2020. So that's part of what it eats into the second half margins.
George Colony: One last note here. Yes, and Anja, one last note here, we haven't made a call or events for the second half of the year yet. We're being quite conservative there and we'll make that call after the end of Q2.
Anja Soderstrom: Okay. That makes sense. And then in terms of Forrester Decisions, it's like significant tax release, when do you expect to see any sort of the meaningful contribution from that? You're releasing it in the third quarter, right? So it will take some lag there.
Scott Chouinard: Yes. Thanks, Anja. This is Scott. Yes, when I'd say, look, we're really excited about this product launch. It's a huge launch for us. And the whole company is behind it and excited. We can't wait to start selling it. That being said, it's a subscription product it's going to be available in the third quarter. So it'll take a little bit for that revenue for you to see that revenue rollout into our financials. So the 2021 effect will be muted. I think what you'll see the biggest effect is we'll start to see some effects, as Kelley mentioned with retention, right, this is going to be a product that clients will want. So we should start to see as this roll out in clients' transition that we see some benefit on the retention side. And it'll take a little bit to see in that metric gets, it's a rolling 12-month metric, but that's probably the biggest - or that's kind of the earlier impact that you'll see. And then the revenue piece will be rolling out more so in 2022. And it's a little bit of a higher cost to serve model. So we wouldn't expect necessarily a big margin impact with it until we start to get the volume, then you get the normal leverage in the business as we drive CV growth.
Anja Soderstrom: Okay. Thank you. And given your strong cash generation now and it talks a little bit about the capital allocation, are you at all discussing the dividend to come back or not?
George Colony: Not as yet. Well, there was a discussion at the Board meeting last week. But we have not made a final decision here yet Anja. If we do bring the dividend back, we will bring it back - we want to make sure we want to do that because we don't want to keep bringing it back and suspending it, obviously, it was inconsistency, it's whiplash for investors. So if we bring it back, it's going to be come back. I don't want - don't quote me on this, but it will comeback for good. So we want to make sure, we make - we consider - there's a lot of consideration around that decision.
Anja Soderstrom: Yes, that makes sense. That's all for me.
George Colony: Thanks, Anja. I appreciate it.
Operator: Thank you. I'm not showing any further questions in the queue at this time. I will now like to turn the call back over to Scott Chouinard for any further remarks.
Scott Chouinard: Okay. Thank you. So I want to thank everyone for joining us on the call today, and we look forward to seeing some of you at the conferences that we have scheduled this quarter, and then updating everyone on our progress to-date during our second quarter call. So thank you.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.